Operator: Good morning, ladies and gentlemen, and welcome to the Chorus Aviation Inc. First Quarter 2022 Financial Results Conference Call. At this time, all lines are in listen-only mode. Following the presentation, we will conduct a question-and-answer session. If at anytime during this call you require immediate assistance, [Operator instructions]. This call is being recorded on Friday, May 6, 2022. I would now like to turn the conference over to Nathalie Megann. Please go ahead.
Nathalie Megann: Thank you, Operator. Hello, and thank you for joining us today for our first quarter 2022 conference call and audio webcast. With me today from Chorus are Joe Randell, President and Chief Executive Officer; and Gary Osborne, Chief Financial Officer. We'll start by giving you brief overview of the results and then go onto questions from the analyst community.  Because some of the discussion in this call may be forward-looking, I direct your attention to the cautions regarding forward-looking information and statements, which are subject to various risks, uncertainties, and assumptions that are included or referenced in our management's discussion and analysis of the results and operations of Chorus Aviation Inc. for the three months ended March 31st, 2022, the outlook section, and other sections of our MD&A with such statements here.  In addition, some of the following discussions involve certain non-GAAP financial measures, including references to EBITDA, adjusted EBITDA, adjusted EBT, and adjusted net income. Please refer to our MD&A for a discussion related to the use of such non-GAAP measures. I'll now turn the call over to Joe Randell.
Joseph Randell: Thank you, Nathalie. And good morning, everyone. There were significant accomplishments in our first quarter and we once again delivered positive financial results. The past two years have been difficult. However, the best the worst is behind us. Globally passenger demand for air travel is rebounding and the regional sector is leading the way. Our Jazz operation is ramping up for the summer peak period, and we're hiring new employees across the organization.  As Air Canada has shared in their first-quarter report out, they are experiencing steady increases in key metrics such as revenue and passenger load factor to the point where they've been exceeding 100,000 customers per day. Lease collections are steadily increasing. First-quarter lease revenue recognized and collected by Chorus Aviation capital grew to approximately 92% from 83% in the previous quarter, and the portfolio utilization is now operating at approximately 95% of pre pandemic levels.  And as more aircraft returns to disguise, there's growing demand for our parts provisioning business at Voyageur, where we're hitting record sales. And we're expanding our aircraft parts offerings. Now, moving into the ATR product. All are positive indications that are -- the passenger aviation business is on the past two recovery. Of course, the greatest accomplishment so far this year is our acquisition of Falko, a market-leading aircraft asset management company with an excellent history and tremendous growth opportunities. We're now the world's largest aircraft lessor, focused solely on investing in the regional aircraft leasing space and a leader in all aspects of regional Aviation. The addition of an asset management platform and the equity interest in 123 owned and managed aircraft create scale and a differentiated business model. Our customer base has increased from 19 to 32 airlines, expanding our geographical reach from 16 to 23 countries, and increasing the value of assets under management to approximately $4.5 billion, with a total fleet of 353 regional aircraft, inclusive of the beneficial interest in five aircraft trust, which we expect to close by the end of the second quarter.  With the addition of Falko asset management platform, we will grow our leasing business through an asset-light model, which significantly increases cash-flow generation, improves return on invested capital, and facilitates the pursuit of larger deals with more efficient access to equity capital. Growth through third-party capital and various funds reduces balance sheet exposure, lowering debt and residual value asset risk, while enhancing stability and diversity of earnings through asset management fees.  This acquisition is truly transformative for Chorus, significantly advancing our growth and diversification strategy. With the addition of Falko, in 2022, we expect to derive 50% of our earnings from non-CPA-related operations. Our immediate priority is to integrate operations and execute on the opportunities this transaction brings, including plans to launch a new fund this year. The Falko management team has a successful track record of raising and deploying capital. Since 2011, Falko through its managed funds and affiliates, has acquired over 320 regional aircraft, regional jet and turboprop aircraft, and since 2015 has raised over $1.1 billion U.S. in equity capital.  We believe the timing of this acquisition is opportune, as global air travel returns and grows, and demand for regional aircraft leasing increases. This combined with our extremely strong and experienced team, positions us well to capitalize on the current environment and to generate attractive returns for investors. We have no doubt that we're in the right sector of the aviation business. The growing demand for regional aircraft is balanced by a supply of new aircrafts as most deliveries are made-to-order by the manufacturers. There is little overhang from new aircraft orders allowing for redeployment of idle aircraft. As the pandemic abates, airlines are looking to curb costs by right-sizing their fleets with aircraft financed off-balance sheet. Regional lessors will continue to be an indispensable component of the aircraft financing industry.  And with recent market dislocation and a changing competitive landscape, we are well-positioned to capitalize on growth opportunities. There are only a handful of operating lessors of scale with regional portfolios. The majority of the world's regional fleet is managed by three operating lessors of which Chorus is one. Of the remaining two, one has signaled a shift in strategy to include narrow-body aircraft. The other already has a significantly larger portfolio of wide and narrow-body aircraft, in addition to its regional fleet.  The remaining operating lessors focus solely on the regional aircraft segment, have smaller portfolios than the combined Chorus Falko platform. Some of these smaller players are capital constrained or focused purely on turboprops. In addition to larger scale, the Chorus Valco combined leasing platform as a broadened market opportunity that covers the full spectrum of regional aircraft from new deliveries to mid and end-of-life aircraft. Our access to capital through a third-party equity funds is unique in the regional space.  Finally, Chorus's technical skills and capabilities, including aircraft repurposing, end-of-life disassembly, and parts provisioning and sales provide multiple opportunities to maximize returns on aircraft assets. With fewer than 25% of the world's regional aircraft fleet being leased there's plenty of room to grow and we see substantial opportunity to place regional aircraft this year. The pandemic has opened new opportunities for us.  With airlines expected to seek liquidity through sale and leaseback transactions, we have many new prospects and have numerous transactions under evaluation. Like the rest of the world we're watching developments in Eastern Europe. We do not have any aircraft in Russia and do not foresee this terrible conflict affecting the growth of our leasing business, as there is opportunity for growth, and the other jurisdictions. We continue to make progress on the implementation of our ESG strategy and intend to published our 2021 report in advance of our June AGM. To further formalize our ESG strategy, we recently completed a materiality assessment to identify and prioritize the ESG topics that are most important, Chorus and our stakeholders. This comprehensive process involve consultations with numerous stakeholders, including shareholders, customers, employees, suppliers, and lenders. The assessment provides the basis for determining the high priority focus areas of our ESG roadmap and we will be sharing more detail on this in our upcoming sustainability report.  We are committed to doing our part to improve the environment, and as such, we are setting an ambitious target to strive to net zero greenhouse gas emissions within our operations by 2050. We were very proud to participate in Air Canada celebration of Earth Day, when we flew a CRJ900 from San Francisco to Calgary, using sustainable aviation fuel as part of Air Canada lead-less travel program. We were one of four flights Air Canada operated.  The use of sustainable aviation fuel on these flights reduce greenhouse gas emissions by approximately 39 tons of carbon dioxide compared with the use of conventional fossil jet fuel. There are many initiatives being explored in our industry to reduce emissions, and we're closely watching the development of other aircraft technologies, such as electric hybrid, and hydrogen powered aircraft. I'm also pleased to share our commitments regarding equity, diversity, and inclusion. While we have received numerous employment awards over the years, we recognize there is still more to be done.  We're committed to increasing our workplace representation by at least 10% over the next five years in each of Canada's Employment Equity Act to find designated groups, including women, visible minorities, indigenous people, and persons with disabilities.  Further, we have a goal to increase the total diversity of our leadership team to at least 50%, including a target to increase women and senior leadership roles to 30%. Jazz's recent employment awards, including Canada's Best Diversity Employer for 11 consecutive years and one of the best places to work are a testament to our commitment to our employees for safe, equitable, and inclusive workspaces and more work in this regard will continue.  Thank you for listening. And now I'll turn the call over to Gary to take you through our first-quarter financial results and to provide some more insight into how accretive the Falko acquisition is expected to be to the earnings for the balance of this year.
Gary Osborne: Thank you, Joe. And good morning. Before I review the quarter, I would like to say how pleased I am to welcome the Falko team to the Chorus family with the close of our acquisition on May 3rd. As I take you through the financial highlights for the first quarter, I will also review the 2022 guidance we've provided given the significance of this investment.  Here's how the first quarter of this year compares to the same quarter of 2021. We generated adjusted EBITDA of $83.3 million in the quarter consistent with 2021 Q1 results. The RAL segment's adjusted EBITDA increased by $2.8 million due to the recognition of an expected recovery on Chorus ' claim in the Aeroméxico bankruptcy, a $2.5 million decrease in the expected credit loss provision and increased lease revenue from re-leased aircraft, partially offset by lower lease revenue, attributable to negotiated lease amendments.  The RAS ' segment adjusted EBITDA decreased by $3.6 million. The first quarter results were impacted by an increase in stock-based compensation expense of $3.7 million due to the change in share price, inclusive of the change in fair value of the total return swap, and an increase in general administrative expenses attributable to increased operations, partially offset by an increase in other revenue due to an increase in part sales, partially offset by a decrease in third-party MRO activity and contract flying. And an increase in capitalization of major maintenance overhauls on owned aircraft of $1.4 million.  Adjusted Net income was $17.7 million for the quarter, an increase of 2 million over the first quarter of 2021 at $0.10 per basic share due to a decrease in net interest costs of $4.8 million and a decrease in depreciation expense of $1.1 million, partially offset by $0.8 million decrease in adjusted EBITDA as previously described, an increase of $2.2 million income tax expense on adjusted items and an increase of $1 million primarily due to unrealized foreign exchange losses on working capital.  Net income increased $61 million over the first quarter of 2021 to the previously noted increase in adjusted Net income of $2 million, a decrease in one-time restructuring costs of $81.8 million related to the 2021 CPA amendments, partially offset by a decrease in income tax recoveries on adjusted items of $21.5 million and strategic advisory fees related to the Valco acquisition of $2.7 million. Now turning to liquidity. As of March 31, 2022 courses liquidity was a $199.7 million, including cash of a $110 million and $89.7 million of available room on its operating credit facility. Liquidity increased from the fourth quarter of 2021 by $11.2 million primarily due to the increased cash flow from operations of $41.5 million and an increase in committed operating credit facility of $25 million offset by scheduled payments on long-term debt of $44.6 million and capital expenditures of $11.6 million. During the quarter, Chorus generated cash flow from operations of $41.5 million. Other key liquidity changes during the quarter were as follows: increased cash of $10.3 million due to a decrease in restricted cash, decreased cash by $14.1 million due to an increase of working capital driven by an increase in the receivable from Air Canada, decreased cash by $7.2 million due to a decrease in securities deposits and maintenance reserves.  Leverage decrease from the fourth quarter due to an overall reduction in net debt of approximately $61 million. Net debt-to-adjusted EBITDA ratio continued its declining going from 5.4 at the end of 2021 to 5.2 as at March 31, 2022. On May 3rd, 2022, we completed the Falko acquisition and expect to close the acquisition of the trust interest on the five aircraft shortly. Concurrent with the closing of the Falko acquisition, we completed a private placement with Brookfield whereby they subscribed for $300 million U.S. of preferred shares and $74 million U.S. of common shares.  In addition, on May 2nd, 2022, we entered into a new $30 million U.S. unsecured revolving operating credit facility, with a 9-month term maturing in February 2023. Taking into account the draws under our credit facilities and the payment of consideration for the Falko acquisition, we anticipate having total liquidity in excess of $100 million for the remainder of 2022, with approximately half of such liquidity consisting of cash and the remainder consisting of available credit.  Given the Falko acquisition, we provided earnings guidance in the outlook section of this quarter's MD&A. Key highlights of the guidance include consolidated revenue to range from $1.57 billion to $1.81 billion with between $260 million and $275 million in the RAL segment. The RAS segment, excluding pass-through and controllable revenue, is expected to have between $310 million and $330 million in revenue. Pass-through and controllable cost revenues are expected to be between $1 billion and $1.2 billion. Adjusted EBITDA for the RAL segment is expected to be between $215 million and $235 million, and the RAS segment between $205 million and $220 million. Adjusted EBITDA for the route segment is expected to be between $75million and $90 million and the RAS segment between $74 million and $84 million. Adjusted Net income available to common shareholders, which deducts to dividend paid to preferred shareholders, and the minority interest acquired in the Ravelin Holdings LP, to be between $93million and $108 million. And adjusted EPS available to common shareholders is expected to be between $48 and $0.56.  Net debt-to-adjusted EBITDA is expected to be between $4.7 and $5.0 at the end of this year. Return on invested capital is expected to be between 7% and 7.9%. And lastly, cash flow from operations and net changes of non-cash working capital is expected to between $270 million and $320 million. Key assumptions related to this forecasts are included in the outlook section MD&A and include the launch of a second quarter -- in the second quarter of 2022 a new investment fund managed by Falko with a minimum of $500 million in capital commitments with management fees and terms commensurate with those in Falko's prior funds. Revenue is based on current contracted lease revenue and forecasted revenues for a leased aircraft and asset management fees.  Aircraft leasing revenue under the CPA and fixed margin revenue is expected to be $114 million and CA$66.3 million respectively in 2022, a combined weighted average statutory tax rates for each of the individual entities based on the jurisdictions in which they are taxable. No disposals in 2022 of aircraft leased under the CPA or in the RAL segments. And the foreign exchange rate of 1.25 to translate U.S. to Canadian revenue and expenses.  The forecast also excludes the impact of the purchase price allocation or PPA adjustments for the Falko acquisition as required under IFRS 3 business combinations. Our preliminary PPA assessment will be completed for Q2 report and we had -- we expect to have a final assessment completed by December 31, 2022. Before turning the call back to Joe, I would like to acknowledge the continued dedication of our teams especially with respect to their outstanding efforts related to the successful close of the Falko acquisition. With that, I'll turn the call back to Joe.
Joseph Randell: Thanks, Gary. And I would also like to close off on the topic of our employees who remained focused and committed throughout this pandemic. They kept safety and operational integrity at the forefront and took great care of each other and our customers. It's their effort including the advancements made in our leasing business by Chorus Aviation Capital -- by the Chorus Aviation Capital team that contributed to this transformational moment in our history.  I sincerely thank all our employees for their patience and hard work. Collectively, we remain energized and are excited to welcome the Falko employees as we embark on a new era for our company that will deliver additional value to our stakeholders. I also want to recognize Nathalie as this is her last analysts call as she will be retiring from Chorus at the end of June.  And I've had the pleasure of working with Nathalie side-by-side for almost 25 years and today's call marks our 65th quarterly analysts call together. So we'll definitely miss you Nathalie, and we wish you well in your next chapter. And Tyrone Cotie who is with us here in this room will be assuming responsibility for Investor Relations effective July 1. Thank you for listening, Operator, and we can now open the call for questions.
Operator: Thank you. Ladies and gentlemen, we will now begin the question-and-answer session. Should you have a question, [Operator instructions]. Should you wish to decline from the pooling process, [Operator instructions]. Your first question comes from Kevin Chiang of CIBC. Kevin, please go ahead.
Kevin Chiang : Thanks for taking my question. Congratulations, Nathalie. Best of luck in your retirement, and thank you for all your help the past decade, as I've covered the stock at least. Maybe just turning to how your risk management processes might have changed given what's happened to the leasing world since the onset of the Russian-Ukraine conflict?  And as you look into deploy this capital through this asset management business, have you changed the jurisdictions you're not willing to enter into? Has there been a change in how you think of the lease rates you want to put out there to cover off some of those risks? We'd be interested in hearing how your risk management processes might have changed over the past two months or so?
Joseph Randell: Our risk management view hasn't changed very significantly from what it was previously. We spent a lot of time looking at jurisdictional risk, political risk in each of the transactions we did. And in working with Falko now I think they've taken very much the same approach. As I mentioned, we do not have any exposure in Russia, etc. There will be some degree of worldwide risks no matter what. But we feel that the jurisdictions that we're in, we're quite comfortable with them and with carriers that we have the customers.  We've not seen any impact with respect or any particular impact on lease rates or lease rate factors as a result of this. Obviously, there are a lot of aircraft that have been dislocated in Russia. There are a lot of larger lessors than have had a significant impact as a result of the sanctions, etc. But the regional business itself in the assets that are in the segment are not widely used in Russia either and some of these other jurisdictions, even including the Ukraine. So we're not seeing really at this point much of an impact. We're not seeing really much of a change in terms of pricing approach, etc. But we will continue to be very cautious on the jurisdictions and the political risks that we take with any of our new customers.
Kevin Chiang : That's helpful. And if I could ask on the fund you or the Falko would be issuing this new investment of $500 million, historically part of this asset management business coming to your fold with the Falko deal. I think you've previously indicated about $100 million of internally generated cash flow would be used to acquire planes and you'd love to add that up to three to one.  With this more asset-light approach, I guess first, is that the way we should be thinking about that $100 million now goes into the fund? Is that the reallocation of that capital or is that $100 million not the right bogey to use anymore? And then two, it seems like given this assets like the return on invested capital should be better than what you would have gotten when you were levering up the equity or putting in. Just wondering what you see the incremental ROI being as you continue to expand your fleet indirectly through this asset management business.
Gary Osborne : Kevin, Gary here. On the asset management side, we will continue to grow those funds and we will be a participant in those funds. So from that perspective, yes, we will certainly see some growth in there. As far as the on balance sheet, anything that will make its way to the balance sheet would be limited. We're certainly moving ahead, but we're working through a lot of that with the Falko teams.  But nonetheless, I think you can see us co-investing or investing in those funds alongside. And as we move ahead, we expect returns to get better, especially as you direct more the asset management because we leverage ratios and that should continue to go down. Our focus on growth will certainly be through that approach. The funds will be our primary growth vehicle on the leasing side.
Kevin Chiang : Okay. And then, maybe just last one from me here. Again, with this asset-light approach, does that change how you think about a dividend? Is that still something you'd like to bring back? Your collection rates are almost back to where they were pre -pandemic, at least for your lease fleet utilization rates are higher, the CPA has proven to be resilient. Feels like we're in a sustained recovery here, and again, you have an asset-light vehicle to to grow RAL. I just want to put that all in a blender like what is the dividend stack up here in terms of reintroducing some sort of payout?
Joseph Randell: Yes. Obviously, by changing our business model, it changes our leverage, it changes projected cash flows and things of that nature. But we have a lot to consider here in terms of the balance sheet going forward, and we want to make sure that it is robust. And so we have more work to do on our capital structure I'd say and with respect to the use of cash and future investment. So what this does, I think, is it gives us far more flexibility in terms of what we do. But at this point, we understand the importance of the dividends, etc., to shareholders. But at this point, I think it'd be premature to make any type of commitment. We need a little more time.
Kevin Chiang : That's not different. Thank you very much. I've a great weekend, everybody.
Joseph Randell : Thank you, Kevin.
Operator: Thank you. Your next question comes from Walter Spracklin, RBC Capital Markets. Walter, please go ahead.
Walter Spracklin : Thanks very much. Good morning, everyone.
Joseph Randell : Good morning.
Gary Osborne : Good morning.
Walter Spracklin : And, Nathalie, best of luck to you as always. It was great working with you and I wish you all the best for sure. Starting I guess with first question here is on the integration and this is a very large transaction for your company and your management team. I'm just curious as to what you're looking for.  I know it's early days, but can you give us an indication of whether there's been any surprises? Are there any KPI's that we can -- that you're looking to assess that we can follow as you integrate that acquisition, and how long a process do you think the overall integration will take?
Joseph Randell : Yeah. It's still early days, but obviously we've started working with the Falko team now. We spend a lot of time on this from a due diligence process prior to making the commitment, etc. And the more we look at it, I think the happier we are at about the commonalities between and the -- I think the, not only on the assets, but even on the cultural side, etc, between Falko and Chorus, I think the team together is very, very strong. We cover so many aspects of regional aviation and a lot of history here, a lot of experience, etc.  And if anything, I think it's been reassuring them in terms of the strength of the team and the strength of the plan. So that's not really a surprise, I guess, but it's a reassurance. And we've seen nothing that we would say, oh, this is something we should have looked at, or we're concerned about, etc. But we're really focused now as we've said, on launching this new fund. And our organization will probably be more involved in the trading side of the business as well. But I think it's all indications for us right now are extremely positive.
Walter Spracklin : Fantastic.
Gary Osborne : Walter, it's Gary here. I'd reiterate that. In this case, we have been very pleased with the acquisition thus far, and as you can see in our [Indiscernible] section, it's coming in where we expected so.
Walter Spracklin : That's great. Okay. Joe, last quarter, you gave us an indication with your booking curve as to where you were trending one quarter ahead on capacity as a percentage of 2019. How far out can you look now, and obviously, coming up on the important summer months, have there any been major changes that have been surprising in terms of the speed or the overall speed of the recovery?  I know we did hear from Air Canada, but just curious to hear from a regional perspective your view on that, the pace of that recovery and whether it's meeting whatever expectations you might have had before, whether it's meeting or exceeding those?
Joseph Randell : Well, I think pace of the recovery is extremely strong. People are anxious to get back up in the air, etc. I think some of the airports are struggling a little in terms of handling some of the security side and that sort of thing. But from a Jazz point of view, when we look at the utilization of our fleet, our craft -- our aircraft will be very fully utilized over the summer period.  I don't have the exact number, and the comparison is a little different because in 2019, we had a different fleet than we have now. Because during the pandemic, we transitioned over to 175s, we moved out of the Dash 8 300s. So it isn't a total an apples-to-apples comparison, but what I can tell you is that we're going to be pretty full up this season coming up, and, it's all go.
Walter Spracklin : Fantastic. Any color, and I know it's hard to gauge this, but it's an important consideration for the airline industry in Canada as a whole and that is business travel. And like I said, I know it's hard to judge whether a ticket is a business travel ticket or not, but I know you and Air Canada up some fairly sophisticated algorithms that can decipher somewhat.  What's your view on the comeback of business travel? I would say that friends and family travel is perhaps feeling a lot of that summer activity that you're describing, Joe, but curious to hear your view on the pickup in business travel at least starting with the original side.
Joseph Randell : I don't have any algorithms or whatever you think. That would probably be more a question for Air Canada, but all I can tell you is anecdotally that I see all kinds of signs of business travel picking up. We had our board meeting here yesterday with folks from Ireland and California, etc., and everybody is traveling. They traveled here for this meeting. The hotel here was pretty full, and a lot of that and what I've seen, is business related. But again, I can't tell you what percentage or anything like that, but again, I think people are anxious to get back meeting face-to-face, etc.  And it’s like us now with the integration of the Falko team, we've been back and forth to the UK, to Dublin; as a matter of fact, we're leaving again on Sunday night and that's all the return of business travel really post-pandemic, although, I guess, we're not totally through it, but all signs are very positive.
Walter Spracklin : Okay. That's fantastic. Appreciate the color. And again, Nathalie, best of luck. Joe, thank you.
Operator: Thank you. Your next question comes from Matthew Lee, Canaccord Genuity. Matthew, please go ahead.
Matthew Lee : Hi. Good morning, everyone. And congratulations, Nathalie. Maybe just to start with the housekeeping questions. In terms of your plans to support the Falko division, are you [Indiscernible] leasing returns. And, if so, can you kind of give us some color right now as what the current split is?
Joseph Randell : Sorry. Could you repeat that? It was a little garbled.
Matthew Lee : Most of my questions have been answered, but in terms of the way that you reported the Falko division, are you planning to split out management fee and leasing returns? And then can you maybe give us an color as of the current split?
Joseph Randell : With the management fee and the leasing returns, so yes. They will be in the route division. We're still working through the disclosure. It'll be -- we'll certainly give some color on various aspects of it, but we still got to work through that here in Q2 map.
Matthew Lee : Great. Then you have discussed some of the technical skills that Falko will bring into the partnership. Was Falko previously outsourcing those skills or is it a new method of value creation for the business?
Joseph Randell : Generally, a lot of the services that now we can provide in terms of the total platform, Falko was outsourcing before. For instance, we see the fleet now including a Falko fleet as feeding our parts business, as an example, aircraft re-purposing, etc. Those were more unique on the core side of the equation. Again, very complementary in terms of the skills that were outsourced and what Falko had previously been farming out.
Matthew Lee : Okay, nice Joe. That's it for me.
Operator: Thank you. Your next question comes from Cameron Doerksen, National Bank Financial. Cameron, please go ahead.
Cameron Doerksen : Yes. Thanks very much. Good morning. And also congratulations Nathalie has been a pleasure working with you over the years. I guess I had a couple of more modeling questions here. I appreciate you're still working through some of the disclosures you're going to have with the Falko acquisition, but safe to say that basically all the revenue and I guess maybe EBITDA is going to be consolidated with Chorus, even the stuff where you've got, I guess not a full ownership of the things in the funds. You can just talk a little bit about how the I guess if the consolidation Is going to work.
Joseph Randell : So inter MD&A, we've disposed the three companies or interest that we have the majority ownership in, so all of those would be consolidated. And one of the funds we own I think it's something just less than 4% or so that would not be consolidated. So where we own a majority, those would be the ones that come in. So the ones we've disclosed in the MD&A there, that's what you should be focusing on.
Cameron Doerksen : Okay. And how about the debt that was associated with the purchase? Is a 100% of that going to be on your balance sheet?
Joseph Randell : That is correct. Although funds that we list there, including and the one with the minority interest is the Ravelin Holdings LP, 100% of that debt will be on our statements yet.
Cameron Doerksen : We should think about that $400 million plus debt added to the balance sheet. And if that's the case --
Joseph Randell : The $400 million we've disposed $405 million being the rough debt numbers that would come across and those -- that's what you can expect to see coming across.
Operator: It looks like your questioner has dropped from the line. Your next question comes from Miguel Ladeira, Cormark. Miguel, please go ahead.
Miguel Ladeira : You noted that you'll be a participant in the funds, but can you disclose the expected split between internal versus third-party capital invested?
Joseph Randell : The split between the internal vs -- we're still working through that. We will be a minority owner in those funds so we'll be less than 20%. So we don't expect being above 20 at any point time in any of the new funds that we're establishing. And then if you go to the MD&A, the 100% in the 64.2% companies that we purchased, you can see them there, and then the other funds are a -- we have a minority interest and it's pretty minor.
Miguel Ladeira : And just a follow-up there on the $500 million fund, how fast do you think you can deploy the capital once it is raised? Do you already have sufficient pipeline or is that something to be developed?
Gary Osborne : I think from a pipeline perspective, there's a lot of opportunities out there. From our side, we've been modeling it anywhere from 2-1/2 years to 3 years to be fully deployed, as it makes its way up. But commitments will be lumpy, but conceptions go 2-1/2 years to 3 years.
Cameron Doerksen : That's all from me. Thanks, guys.
Operator: Thank you. Your next question comes from Tim James, TD Securities. Tim, please go ahead.
Tim James : Thank you. Good morning, everyone. Congratulations, Nathalie. It's been an absolute pleasure. All the best for the future.
Nathalie Megann : Thank you.
Tim James : Just one question, and I didn't know to what extent you can comment, but I'm wondering if you can characterize the proportion of your lease agreements where you have renegotiated lease rates, and I guess the followup to that is if you can comment on lease rate factors and where they stand relative to pre -pandemic?
Joseph Randell : Lease rate factors certainly in this market. We haven't seen a major change in how you determine them as far as that goes. There's still $34 million as interest rates and other things make their way through. We expect those to adjust. As far as the revenue we're looking for GAP and at least rate -- lease rate amounts. You see there are certainly make their way through receiving from. The lease rates for the aircraft that are grounded here as the industry picks up the surplus, obviously are still lower than we would hope. They are recovering. There are signs that with respect to the valuations that are put on the fleet and the corresponding lease rate factors.  We see that improvement as the surplus is absorbed. There's not a lot of new equipment being manufactured out there. As you know, the 400s are not being manufactured through our normal CRJs, and there are limited number of ATR 's. So the fact that there is no overhang from a lot of new manufacture and misplace of or not placed new equipment, I think will help boost the lease rates on the fleet that has been grounded as a result of the pandemic. As you know, we've had one of the major competitors in the industry that have had a lot of distress with respect to that, and that's created a bit of a surplus. But, I think a lot of the types of arrangements that we're looking at here with respect to sale and leasebacks or other opportunities here are not subject to the same downward pressure as you have on that surplus fleet, because a lot of this is sale leasebacks of aircraft that are already on-balance sheet or are committed in terms of purchase.  And then, as well of course, there are also potential for purchase of portfolio assets, and which can produce a good return. So I think we're seeing returns and we're targeting returns that were, as they were pre -pandemic. But each transaction will be different. But in the long run and I guess in the medium run, really, we're looking at getting back to returns that we were targeting prior to the pandemic.
Tim James : That's helpful. Maybe just a follow-on question to that. Of course, throughout the pandemic you had leasing customers, some of which you repossessed aircraft and re-marketed those. And then, at the other end of the spectrum, you had customers that because of their own liquidity and financial situation were able to continue lease payments, I believe, without any interruption.  Do those customers that have made it through this in one piece without interruption to their ability to pay -- to make payment on their leases, are those leases or have those leases been subject to any rate pressure just because of broader conditions, or is it only those aircrafts that maybe have been repossessed and re-marketed at lower rates and maybe those aircraft where you renegotiated with a customer because they've been in credit or protection? Or is it more across-the-board or is it very customer specific, I guess, is another way of asking it?
Joseph Randell : It's very customer specific.
Joseph Randell : Obviously, if a customer was restructured or had significant liquidity issues, etc. we worked with the customers I think. We have been straightforward with respect to our credit loss, expected credit loss with respect to our financial reporting, our receivables, etc. The other customers, those leases remain in full effect and we are looking to renew a lot of them.  Obviously, when you renew leases on older aircraft, that's at a lower lease rate, because it reflects the reduced value of the asset. So, we see as I said, that market becoming stronger now with time and as more aircraft get back up in the air, there's more demand for capacity that will start raising the lease rates on those assets.
Tim James : Okay. That's very helpful. Thank you.
Operator: Thank you. Your next question comes from Konark Gupta, Scotiabank. Konark, please go ahead.
Konark Gupta : Thanks, and good morning, everyone [Indiscernible] and athlete for your retirement turn, and thanks for all the help. Assumed, maybe the first question is on the guidance, was trying figure out what's included and not included in the guidance, how much contribution do you expect in the guidance from the new $500 fund that you're launching.
Gary Osborne : So we -- it's Gary here. So in the guidance, we expect that fund to be launched later this quarter and so certainly it's start to take traction with back half of this year. So that's included in the guidance. And then obviously it's the values of the acquired assets that we go lines in there from the Falko transaction and included some of the already interested or some revenue for minority interest in other prospects. When you look at the new asset management piece, the $500+million. Facility, which is the minimum inside of it, we hope to be higher than that. We don't expect to really have that fully launched till the second-half, but it will get announced here shortly.
Konark Gupta : Okay, thanks, Varian. Does that mean that the full return from that $5 million fund Bill annualized sometime in Q4 of this year or could that be sometime in '23?
Gary Osborne : So you go back to the deployment schedule. So we were launched the fund. The Falko team will begin to manage that fund and start to earn some fees as we go through the course of this year. And then as the assets are deployed, then you'll start to get returns on the fund. So returns are going if you go when you are remodeling it, it should be able to 2.5 to three-year period. It gets fully deployed and then you can start working the returns.
Konark Gupta : That's great, thanks. And then, with respect to your growth ambitions, obviously, the whole growth profile will change with Falko. So the guidance you provided for this year, that's as a base, where or what growth in EBITDA or earnings are you expecting, let's say over the next couple of years or so? How should we think about it?
Gary Osborne : Yes, what we've given you is some good short-term guidance here for 2022. We do plan on doing an Investor Day in the latter part of this year with the dates to be announced. And that's where we'll unveil a lot of those longer-term growth plans and other things like that. But certainly, this new fund with a minimum of $500 million that we're going to launch here shortly will be the biggest part of the growth avenue. We'll have a minority interest in it, less than 20, so it won't be consolidated in our statements, but that's where a lot of our growth is going to come from.
Konark Gupta : Okay, that makes sense. And if I can just follow up on combined business with CAC and Falko, is there going to be any major changes with respect to branding or back office or front office management, things like that?
Joseph Randell : Yes. The entire fleet, including the fleet under the funds and other aircraft including the Chorus Aviation Capital aircraft will be managed by Falko. So we will continue with that brand. And it's being all consolidated under the management of Falko.
Konark Gupta : That's great. Final one for me before turnover. You mentioned are you closed ROIC for the entire company, I think that's 7 to 8% this year. Can you provide some color where the ROIC is for, roughly speaking, maybe for [Indiscernible] versus your existing CAP business and CPA. How do we compare those?
Joseph Randell : Yes. Sorry. We're not disclosing those at this point in time, but we're doing an overall company metric. And the reason we focus on that is we look to optimize the company assets, company capitals structure amongst the various unit. So that's why we focus on that level.
Konark Gupta : Makes sense. Thanks again.
Operator: Thank you, ladies and gentlemen, as a reminder, should you have a question? [Operator Instruction] Your next question comes from Fadi Chamoun, BMO. Fadi, please go ahead.
Fadi Chamoun : Gary you thank you for squeezing me in and congrats on the Diamond Nathalie, and thanks a lot for your help that we've seeing the last couple of years. I wanted to understand one thing about the structure of the funds. Are these funds typically have a duration and a stint was the lease term, is that the right way to think about the funds?
Joseph Randell : Okay. So the funds generally are around 10 years in terms of life, is the way that there is structured. The $500 million is the capital that we're looking to commit this year. The last fund was $650 million, so that's the duration of the fund generally. So then there can be trading within the fund, etc. So but it does have a financial life. Yeah.
Gary Osborne : And Fadi it's Gary here, your wants to fund for $500 million plus in last one to 650 than the add leverage in the fund onto those assets. And then it basically back to Joe's point has a 10-year quarter.
Fadi Chamoun : Thanks. The leverage that's added in the fund, it generally has no recourse to us, but is related to the fund investments through the fund investors.
Konark Gupta : And this might be a very basic question. Just trying to understand how you earn money with these funds. Expectedly, you invest in a fund as well and you're obviously make the return on your own investment. But how is the fee structure of the fund works in terms of you managing the asset on behalf of third-party?
Joseph Randell : You are paid fees for managing the capital that is committed in the fund and there are other transactional fees, etc. Often there are incentives within the fund once you achieved certain hurdles that are paid. The expenses generally of the trades are covered by the fund itself. So really though it's primarily the fees, the management fees, some transactional fees, incentives, and of course then our own participation, as an investor in the fund.
Gary Osborne : Yeah, Fadi, it's Gary here, so back to our, we announced the transaction, back to what Joe said, we get fees from the funding and managing the fund through the various sources. Joe indicated we also get our return from the fund our proportion of what we own in the fund. And then there's potential for incentives that the fund outperforms certain investment targets that get crystallized staying there. So that's the three-ways that we essentially earned.
Fadi Chamoun : Okay. And you start to earn the fees when the fund is completely deployed because now you're doing the funding, the $500 million, then you have to go and [Indiscernible] those funds obviously, which will take some time. How would that work?
Gary Osborne : There is some -- when the fund gets launched and you start to manage the capital, there are fees that apply then, and so there's fees almost if you want to call it from day one that go into the fund. So it's not just based on deployment.
Fadi Chamoun : Okay. And, the balance sheet is okay, would you from this point on favor placing your investment in those funds or would you do transactions on your own like you have in the past with your own balance sheet?
Gary Osborne : Yes. The preference is to go fund first for sure, and then the balance sheet would be secondary. So we see going through the funds as being the primary growth piece, and we don't see it a lot compared to that going on the balance sheet.
Joseph Randell : And this is how it really is transforming our growth within the leasing business, is to move more into an asset-light fund type of structure that will clearly be our focus.
Fadi Chamoun : Okay. Okay. Great. Thanks for the color.
Joseph Randell : Alright.
Operator: Thank you. There are no further questions at this time. Please proceed.
Nathalie Megann : Thank you, Operator. And thank you, everyone for being present on this call. I've enjoyed working with many of you and wish you all the best. Thank you.
Operator: Thank you, ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.